Operator: Welcome to the TC Transcontinental Third Quarter 2018 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session and instructions will be provided at that time. As a reminder, this conference is being recorded today, September 6, 2018. I would like to turn the conference over to Katherine Chartrand, Senior Director of Corporate Communications. Ms. Chartrand, please go ahead.
Katherine Chartrand: Thank you, Jessa, and good afternoon. Welcome to TC Transcontinental 2018 third quarter results conference call. The press release and MD&A with complete financial statements and related notes were issued earlier today. For those of you who are not on our distribution list, the documents are posted on our website at tc.tc. With us today are: TC Transcontinental's President and Chief Executive Officer, François Olivier; and Chief Financial and Development Officer, Nelson Gentiletti. Before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in a listen-only mode and should contact Nathalie St-Jean, Senior Adviser Corporate Communications, for more information or interview requests. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Also during the three month period ended July 29, 2018 the company has updated its definition of certain non-IFRS financial measures which now exclude the amortization of intangible assets and the reversal of the fair value adjustment of inventories sold in connection with business combinations. Please refer to the MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. In addition, this conference call might contain forward-looking statements. Such statements are based on the current expectation of management and information available as of today inherently involves numerous risks and uncertainties, known and unknown. The risks, uncertainties and other factors that could influence actual results are described in the 2017 Annual MD&A, the latest Annual Information Form and has been updated in the MD&A for the second quarter ended April 29th. Please note that this was the first quarter with Coveris Americas and our results since we completed the transactions on May 1. As we told you last quarter, you can see that we have separated our packaging and printing activities and as these are now distinct sectors in our company. In reports our media activities are now reported under the other categories. I would now like to turn the call over to François Olivier.
François Olivier: Thank you, Katherine and good afternoon everyone. First we are satisfied with our overall results in this third quarter and work was an intense period of activity largely due to the integration of Coveris Americas. Now let me highlight some key factors that contributed to our results. We will start with the packaging sector which is now the largest business from a revenue standpoint at Transcontinental. Our TC packaging activities acquired prior to Coveris performed well both in terms of revenue growth and profitability. That being said, for the quarter organic sales growth was 3% which is below our stated objective of 6% on a year-over-year basis. However, excluding the previously mentioned impact of a change in legislation in one of our key markets, organic sales growth in the remaining markets would have been 6% for the quarter. We are seeing a progressive return to more normal levels for that specific market and we have also secured additional volume and expect orders to begin later in Q4. In terms of our other markets, we saw a good growth in dairy products, pet food and consumer goods product. Furthermore, Multifilm which we acquired in March had a good quarter posting a 5% increase in revenues. Turning to our acquisition of Coveris, it was a significant contributor to our overall results and we are pleased with its revenue which are in line with our expectations. During the quarter, we began our rigorous integration process. I am pleased to report that it is proceeding very efficiently and we have already made great progress. Our primary objective post transaction was to connect with as many Coveris customers and employees as possible. Since the acquisition our management teams have visited all of the Coveris manufacturing locations representing over 3000 employees which are truly engaged and excited to have joined the TC family. We have also visited customers representing more than 40% of revenues and have had very positive reception as customers appreciate the stability and ownership and the long term perspective that TC Transcontinental brings to the table. As I told you last quarter we will be focusing among other things on strengthening the sales force in order to reignite sales growth. The process has started and will take several quarters to implement and so we don’t expect this to have any meaningful impact in fiscal 2019. In terms of profitability, Coveris profit margins were lower than anticipated in this third quarter as it was affected by a delay in the pass through of increased and the cost of paper, resin and freight for several customer contracts. That said, our investment thesis remains unchanged. Coveris is a significant engine of growth for us and we expect it to be a contributor to our overall profits in the coming quarters. We are well positioned to begin to realize synergies at the end of the fourth quarter and accelerate them in 2019. We feel very comfortable about achieving the targets we set at the closing of the transaction. Over the next few months, we will continue to integrate our network of packaging plants to that of Coveris, execute on our revenue opportunities and cost savings as well as leverage our strong manufacturing capabilities. We have a new organizational structure in place for this sector with members from both Coveris and TC which will help us deliver on these objectives. We are finalizing our operational plan for fiscal 2019 and we now have a seasoned team in place to execute it. Turning to our printing sector, we delivered good performance with our top and bottom line results in line with our plan. Excluding the impact of deferred revenues and profits from previously announced news paper outsourcing agreements which terminated this year, our printing sector adjusted operating earnings remains stable in the quarter. We continued to see resilient demand for our retail related services. Our revenue in this business showed a slight decrease compared to a very solid third quarter last year, further impacted by the loss of distribution revenues from a bankruptcy of a Canadian retail customers. We believe that our offering of printed flyers and other related services remains highly relevant to Canadian retailers in order to drive traffic to the store and demand by our customer for use of flyer is stable. As for in store marketing products vertical, a growth access for us the previous announced agreements valued at about $15 million annually went into effect late in Q3 and are ramping up very nicely with the full benefit expected in 2019. These are important contracts that bring our revenue in this new business to $75 million on a run rate business, therefore putting us on track to achieve our goal of $100 million. We continue to pursue potential opportunities with both retailers and non-retailers. As for the rest of our non-retail related business, volume continued to be affected by persistent adverse factors in the advertising market. Note that our revenues in the quarter benefited from the price increase for certain types of paper with no impact on our profitability as these are passed through to customers on a timely basis. As expected we also benefitted from the previously announced closure of our Transcontinental Métropolitain newspaper printing plant. Furthermore, following the sales of our printing activities in Fremont California to Hearst, the reallocation of some of our equipment to our Canadian retail printing platform is currently underway. This equipment will enable us to drive increased efficiency and our retail manufacturing platform and should contribute to reducing our cost starting in the third quarter of 2019 with the full impact flowing in 2020. This quarter, we also benefitted from our transitional service agreement with Hearst. And now I know that our media activities, the process of refocusing them towards our business and educational portfolio is essentially complete and these activities performed as planned in Q3. In conclusion, in our packaging sector we will continue executing on our rigorous integration plan and we will achieve our synergies that we have targeted. We remain confident on delivering on our investment thesis of the Coveris acquisition. On the printing side, measures are continuously being taken to further optimize our platform while our teams are diligently working on adjusting our cost base to volumes. For our Media Sector, we will focus on further developing our business and educational portfolio. We expect to deliver stable results in terms of profitability. With that, I will turn it over to Nelson.
Nelson Gentiletti: Thank you, François, and good afternoon. As François mentioned there was some noise in our printing results during the quarter and I will go over that in a moment. But first let me start by providing you with an update regarding the process of executing on our cost savings synergies related to our Coveris Americas acquisition. We are reiterating our targets of US$20 million of cost savings to be realized over the first 24 months post closing, of which $10 million are expected to be realized in the first 12 months on an annualized basis. While no savings were realized in our third quarter results, given the early stage of the integration, we fully expect them to ramp up and begin materializing at the end of the fourth quarter progressively reaching their full impact at the end of Q2 of 2019. The initial synergies will be driven by procurement related cost savings as well as prepress and plate-making in-sourcing. After that we expect to see the effect of manufacturing efficiencies and film in-sourcing in 2020 as we benefit from the planned investment in new equipment. A note on Coveris profitability in the quarter. As François mentioned earlier, the 12% EBITDA margin was slightly lower than the 13% achieved in the prior year as the quarter was affected by a delay in the pass through of increases in the cost of paper, resin and freight for several customer contracts. Please note that paper is used in the manufacturing of many types of bags in certain Coveris plants. Before I comment on our cash flow and provide you with more color on our expectations for the fourth quarter, let me take a few minutes to go over some of the elements that affected our profitability in the printing sector. In terms of the impact on our adjusted operating earnings in the third quarter, the negative non-cash impact related to deferred revenue due to the end of the printing of the San Francisco Chronicle La Presse and The Globe and Mail in the Maritime accounted for $11 million of the $12 million decrease on a year-over-year basis. Recall that, as part of our first agreement, we recorded a one-time non-cash gain in the first half of the year as we accelerated the recognition of more than $100 million in deferred revenues. As of April 1st of this year, we stopped printing the San Francisco Chronicle and therefore we will no longer have any deferred revenues. Regarding the end of the printing of La Presse and The Globe and Mail in the Maritimes as you know we had received onetime cash payments of $31 million for each of these to compensate for the resulting reduction in revenue. For the fourth quarter, the non-cash combined negative impact of the end of the printing of the San Francisco Chronicle, La Presse and of The Globe and Mail in the Maritime compared to the same period last year will be approximately $12 million in revenues and EBITDA as well as each EBIT levels. In fiscal 2019, we will only experience the unfavorable effect from the end of the printing of the San Francisco Chronicle, using an exchange rate of 1.3 but the resulting negative impact will be approximately $37 million in revenues, $20 million at the EBIT level and $22 million at the EBITDA level, again the majority of the impact will be non-cash and will therefore have minimal impact on our cash flow. You can find the supporting table in our MD&A highlighting the impact of this element on our results. If you need further clarification on this, we can answer your questions after today’s call. In 2019, please note that we will no longer benefit from the Hearst transition revenues of $7 million which will end in Q4 of 2018. Now turning to our cash flow in the third quarter. Net change in cash amounted to an outflow of $270 million and we closed the quarter with $28 million of cash. About $77 million which includes $7 million of tax payment came from operations. We invested $1.6 billion for the acquisitions, namely for Coveris Americas and allocated $20 million to CapEx. We also distributed $18 million in dividends. At the end of the quarter, our net indebtedness was $1.5 billion. With the completion of the acquisition of Coveris Americas we saw an increase in our consolidated debt and our net indebtedness ratio which stood at 3.5 times at quarter end. Now to our outlook. In our packaging sector, we expect our acquisition of Coveris to significantly contribute to our revenues and adjusted profitability over the next three quarters. We expect Coveris revenues to be comparable to those of 2017 and its profit margins to gradually improve towards our stated targets over the next few quarters as a result of manufacturing efficiency initiative and the effect of synergies beginning at the end of the fourth quarter to reach our target of $10 million on an annualized basis at the end of Q2 of 2019. For the full year, we expect sustained organic sales growth and revenues, excluding the Coveris acquisition. In the event of an increase, raw material and trade cost could once again impact our profit margins. In our printing sector, we expect revenues from our retailer related services which represent the bulk of our revenue to remain relatively stable over the next 12 months when compared to last year. The remaining portion of our printing portfolio should be affected by expected volume declines due to the same trends in the advertising markets and due to lower volume in our newspaper printing vertical relating to the end of some of our newspaper outsourcing contract. We will benefit from the transition revenues of $7 million from Hearst until the end of Q4, 2018. In terms of profitability, the impact of the Hearts agreement will negatively affect our adjusted results until Q2 of 2019. Also, the printing sector will continue to benefit from the closure of the Transcontinental Métropolitain plant and other cost saving initiatives until the end of Q1 of 2019. In the Media Sector, we expect our business and education portfolio to continue to deliver stable profitability. For the 2018 P&L, assuming the stock price at the last 5 days average, you should model for full year corporate cost at the EBITDA level of about $27 million. As a reminder, a change of $1 in our stock price impacts our results by close to $1 million. Our full year financial expenses are expected to be about 2 times higher than last year as our indebtedness has increased due to the acquisition of Coveris. Our tax rate is expected to be close to 27%. In terms of the use of cash for the year including Coveris Americas, you can assume CapEx of about $80 million and cash taxes of $45 million. To conclude, TC Transcontinental continues to execute on its growth plan towards generating profitable growth through a combination of manufacturing cost leadership, focused business verticals, strong customer relationships focused on the integration and organic sales growth. We expect to continue to generate significant cash flows from all our operating activities which should enable us to allocate capital towards reducing our indebtedness. On that note, we will now proceed with the question period.
Operator: Thank you. One moment please.[Operator Instructions] Adam Shine, The National Bank Financial. Please go ahead.
Adam Shine: Good afternoon. Maybe I’ll work my way backwards for some housekeeping items. Starting with you Nelson, $27 million of corporate cost at the EBITDA level, but you then give us a Q3 number given that you sandwich things with Media. So can you – maybe just give any color on Q3?
Nelson Gentiletti: Yes, I can give that to you, hold on one sec.
Adam Shine: Maybe in the mean time just for François, the context of Coveris and sort of stable results, it looks like the results in Q3 were maybe a little bit shy of stable. So is that something that we should think about at least for the next quarter to but with progression to manifest itself sort of into the later part of 2019, how exactly should we think about that?
Nelson Gentiletti: Yes, well first of all as you know if you looked like our margin and packaging from quarter to quarter of a little bit more variability than in the print sector, so you know like when we acquired Coveris the average EBITDA was at around 13% but not all were are equal, so that was the annual, so we came in at 12.24 for this quarter, so it’s a little bit shy but we expect to be on our way to the 13% soon but I think you should in packaging look at these quarter by quarter with a little bit of more cautious because you know we could be up 14 in one quarter and 12 in another, but we believe that we will have no problem sustaining the 13% in the future quarter.
Adam Shine: Okay, I appreciate that color. I was talking more in regards to the top line where I thought you came in a little bit shy of that sort of stable context, not much of course but just a little.
Nelson Gentiletti: Yes the topline was at time in line with our expectation and with our plan that we did in the due diligence and overall with Coveris for the first year we want to make sure we built a strong sales force, a strong sales funnel and we have enough a lot of verticals. So in some verticals, we had a lot of very strong funnel and good sales force and are going to execute on that. On some other vertical we need to reinvest in the sales force, and the sales funnel is not as healthy. So when you look at all of that, the vertical where we have a good 12 months ahead of us that was well prepared by Coveris prior us acquiring and the one that are kind of less well -- the funnel is more empty. When you look at all that, our expectation is that the sales for next year are pretty going to be pretty flat we think and it's important for us to build the sales funnels so that in 2020 we start to enjoy some growth. And as you know, rebuilding in some vertical to sales force and executing on some of those verticals that have a long sales cycle. We should be realistic about their Coveris portfolio growing a lot in 2019. We think its going to be pretty much stable and that's what we saw in this first quarter. Again, we know a little bit of the variability quarter to quarter and we think that from a revenue standpoint Q3 came in exactly where we thought it was going to came in – come in.
Adam Shine: Perfect. And just maybe one last question. Just in regards to the vertical in the other part of the business which was a Q1 issue and then the impression I guess was that it was resolved with some real strong organic growth in the Q2, seem sort of occurred again. Is that something that could be a bit of a more volatile issue moving forward? Or do we think that's largely behind you guys and FY 2018?
François Olivier: No. I'd say, it was – this vertical was really badly affected in Q1 like has told you. As you recall a Q2 was a very strong organic growth for the TC packaging business about 9%. This vertical have contributed in Q2 a little bit, but the part of the contribution came from other market. And this issue in this vertical is about legislation about the labeling on the package and the initial signal that we have was that a lot of customer were sitting on a lot of inventory. And they were – we thought we're not going to be able to reuse some of their inventory that they would going to need to throw that away and start reordering in Q3 and that's what we have communicated to you. But fortunately for them which is a good thing, they are customer, but unfortunately if our volume, they came up to some kind of agreement with the government to not throw away all that packaging and do something to use them, which kind of delay coming back of that business. It's starting now and it's going to be very healthy in Q4. And what I said in my prepared remarks, we have those discussions with our customers in that vertical we manage to lock in additional business that also going to start in Q4. So its coming back, but its coming back kind of three or four months later what we have anticipated and that's why in this quarter we have 3%, but if you factor out these verticals its only three customers and you look at the rest of the TC portfolio and all the other verticals we performed in Q3 up to 6%. So we expect again a good Q4 for organic growth on our legacy TC packaging portfolio.
Adam Shine: Great. I appreciate. Thanks for the color.
Nelson Gentiletti: Just on your first question, Adam, we've given you a total of $27 million of corporate cost for the year, so it would be 10 would be Q3 and for Q4, assuming the same stock price should be about rather same number.
Adam Shine: Okay. Great. Thank you very much. Appreciate it.
Operator: Mark Neville, Scotiabank. Please go ahead.
Mark Neville: Hi, good afternoon. Just on the delayed on the pass-through on the input cost and on freight. I guess just first, I'm just curious sort of how much of an impact or the -- if you can quantify that?
Nelson Gentiletti: We're not going to quantify that. We work on something else and free from some integration, but obviously we've read all the contracts and obviously those pass-through are different for customer. Some have 30 days, some have 60 days, some have 90 days, some have twice a year. And obviously when that price go down, whatever the delay is we take a hit and you see that with company and packaging when the material price is going up, usually our margin goes down. And when the material price starts to go down that same delay apply and then you see our margin going up. And so we will not quantify the exact number, but from 12.2% to 13%, the main reason is that the paper price industry is very tight right now and the price are rising. And resin is also not as tight but rising a little bit as well. And the freight cost, there's a very tight supply of trucking in North America and the price are high and when we incurred these increased revenue we suffered that whatever delay we have in our contractual agreement with customers, and that's what happen in Q3.
Mark Neville: Okay. I guess just broadly speaking, is it sort of a 100% contract? I know that's too high. But then at what percentage this is hedge or sort of what percentage of your contracts roughly would have these price escalation or mechanisms in the contract?
François Olivier: I would say about two-thirds and about a third. We have to talk to the customer in either way and two-thirds is like in the mechanics of the contract. I would say it would be a fair number.
Mark Neville: Okay. And just want to make sure I'm understanding the legacy packaging, I think it was about 2.5% -- 3% [ph] growth in the quarter, but again you sort of explain the reasoning in the inventory situation or if you want to call that, again it sort of like a three or four months sort of impact. So Q4 again it sounds like you are sort of guiding back to that 6% range. Is that – am I reading that right?
Nelson Gentiletti: Well, we – basically what I said is that in Q3 we were at three, but because of the impact in that vertical and the rest of the business is at six. And we think some of that situation is going to resume in Q4, so we're going finish the quarter at six, at four, at five, but our expectation is to finish with a good organic growth four-quarter.
Mark Neville: Okay. That's right. Just on the margin, I guess in packaging, if its 13% roughly Coveris. I think the legacy was close to 13%, but I wanted to think about this business and this layering on the synergies and some of the growth. I guess we sort of think about it maybe you're eventually migrating towards 50% EBITDA. Again I know you don't give longer-term targets or guidance, but is that sort of delay you're thinking about it or is it more sort of old wine on the margin with the synergies? I'm just sort of curious as your thought on those?
Nelson Gentiletti: Yes. Right now our focus is to understanding well the assets and understanding – and getting to know our business and the customer and that's what we basically did in the first quarter. Now we put the team in place and we’re going to start execute on our plan. Now, for me it's important to stabilize the business and position the business well for long term growth with the right investment, with the right strategy and the right asset and the right vertical. Obviously, we're looking forward to bring EBITDA margin from 13 to 15, but I would say that we are more interested in the first year of acquiring Coveris and positioning the assets for long-term growth and if it mean staying at 13% for year we want to make sure that we do the right move early on in terms of making strategic decision on verticals that we're in, where are we playing, for which product and acquiring the right assets to position the platform, to have a growth in the further and to get to that 15%. But right now we're more focus on making the right decision for the long run than trying to prove to you guys that we could be at 14% in Q4 and Q1, next year they'll time for that. And I think we prove that that team when it's about maximizing margin and working on cost and all that, but we are the beginning of this and what is very strategically important for us is to position the platform for long term sustainable growth and that's what we intent to do in the first year. And I think its important mark as well. We did said in our prepared statement, but when you look at the model is that when we split the two, when we split the two businesses print and packaging and the way we disclose them, as you can imagine, on a combined basis we were charging management fees to the different business. So when we split those businesses obviously we've carved out the portion of those management fees and have put them in to the packaging segment and so that's roughly 6.5 million on an annualized basis, so the quarter is 1.6 million. So in the quarter if you wanted to get kind of a comparative margin last year on the legacy business you'd add back 1.6 million of management fees. And in our reporting actually we've actually adjusted the comparative numbers retroactively to the beginning of the year, so if you go back to our year to-date Q3 or you've got three-fourth [ph] of the 6.5 million in those numbers of management fees.
Mark Neville: Okay. All right. Thank you very much.
Nelson Gentiletti: Thanks.
Operator: David McFadgen of Cormark Securities. Please go ahead.
David McFadgen: Thank you. Maybe a couple of questions for Nelson, I guess a clarification first of all, you talk about the impact in 2019 from San Francisco Chronicle. I think you said the impact was $37 million revenue versus 2018? I'm just trying to reconcile that with Table 4 and your MD&A, if you can provide any clarity that would be helpful?
Nelson Gentiletti: Are you trying to reconcile with the [Indiscernible].
David McFadgen: Was the revenue impact or is the revenue impact in 2019 expected to be $37 million from Chronicle versus 2018?
Nelson Gentiletti: Yes. I mean – but this table, this table doesn't have the revenues. So if you look at the table and you at the bottom, you'll kind of add up the quarters, you'll get those number, if you look up here.
David McFadgen: Okay. Maybe we can take that off-line I guess. So, François you said that maybe some of the sales funnels at Coveris is robust as you like. Can you give us an idea of what industries those sales funnels are targeting?
François Olivier: I can give you an example, in some vertical there is a very strong sales funnel, very good sales force and a very good role plan that will deliver solid organic sales growth next year. But in some other vertical their strategy was to try to go for the home run and run after a large piece of business and large customers and try to go for the big win which is very tough to execute. And our strategy in TC packaging was more to go for the smaller Q2 customer that tend to grow at a faster rate and we tend to be able to make deals with them and maybe a little bit faster. So, in some vertical we are refocusing the strategy from very large customer to midsize or smaller size customer and obviously if you do that and you want to have the same type of sales, you need to target more customers so you need more feet on the street. So in some vertical we don't have enough feet of the street for the change of strategy that we want to execute, so we need to hire the rep and build the sales force and build the plan to go with our new strategy. So in some vertical we are going to from and chasing very large piece of business. To try to chase a smaller piece of business we think its going to be more successful for us and that's what I meant by rebuilding the sales funnel and investing in the sales force.
David McFadgen: Okay. And what are the potential revenue synergies from sort of integrating Coveris with the rest of the packaging business. Are there many revenue synergies out?
François Olivier: There are some, I think in some verticals, I think in verticals where PC packaging prior Coveris was not present. That might be little bit less synergies, but we were both presence in those vertical and you put the two offering in the two asset based together, our offering in those verticals are much stronger and it enable us to have conversation with the customer where they feel a lot to give us more business because we have more scale, more backup, more product offering and some verticals, we're the market leaders. So that's been a very positive conversation with a lot of customers so far in the vertical where we had a combined offering. And we think that there will some positive outcome from in those verticals, but like I said in some other verticals the Coveris sales funnel was pretty poor and we need to rebuild that in the next year or so. So when you're factoring the place where we feel we going to enjoy some good organic growth and the place where we feel we're not on a growth our expectation for next year is we think that we're not going to show lot of organic sales growth on the Coveris portfolio. On our TC portfolio, from what I see right now is we expect another solid year of organic sales growth in 2020. And you're right, some of that is going to be help, because we have acquired Coveris.
David McFadgen: Okay. And then just one final question for Nelson, in the MD&A you give the financial leverage of 3.5 times, that's not a pro forma number. Do you have the pro forma number that you could share with us?
Nelson Gentiletti: I mean, the pro forma number would be close in line with what we disclosed when we announce the acquisition.
David McFadgen: Okay. Can you remind me what that was? Sorry.
Nelson Gentiletti: 2.75.
David McFadgen: 2.75, okay. All right. Thank you.
Operator: [Operator Instructions] Drew McReynolds of RBC. Please go ahead.
Drew McReynolds: Thanks very much. Good afternoon. First for you, Nelson, on the segmented information, just want to make sure I haven't missed it any of the quarterly restatement for prior quarters. Have you put that out in the supplementary anywhere?
Nelson Gentiletti: Yes. It will be online.
Drew McReynolds: Okay. As of today at some point?
Nelson Gentiletti: Yes.
Drew McReynolds: Okay. That's great. And for you, François, on Coveris more qualitatively we have covered off the rest. Just in terms of some of the surprises either positive or negative at quarter end here looking at the platform, anything you want to flag on it either positive or negative that would be helpful?
François Olivier: No. I think we did a very diligent work on looking at that acquisition for about nine months. There's a lot of plant visit and even talk to customer trying to acquiring. So we had built ourselves a thesis and a model and after three months what we were expecting to be great is great. What we were expecting to need a little bit of work, need a little bit of work. I cannot say, Drew, as it exactly what we thought it was and so we are executing on the plan, because what we've seen – I would like to report to you some very pleasant surprise. There are some positive things, but we have seen them and they are there. And what we knew we needed to work on is exactly that. So it is exactly what we thought it was which also help us in terms on the plan that we have anticipated to put in place is the plan that we're starting to execute and now we have choose the people who are managing the corporation. We have split the corporation in term of how we want to organize the various business units. We have announced that last week and now we're going to start to execute our plan. So we took a good three months to make sure that our thesis all we meet, all that large customer and all the customers that we need to see we visit all the plants. We have a good idea of the asset base that we have acquired. We visit all the factory. We have a very feeling for the tone of the people which is very positive and they are very motivated and then we have lot of people who work in the last three months are creating a solid plan and now we have the team in place and the plan is ready and we're starting to execute that diligently, but like I said for the long run, but no surprise to report either way to exactly what we thought it was.
Drew McReynolds: Okay. That' great. Two others maybe for you, Nelson. First in terms of the media portfolio as it sits here today, I think at some point you were kind of looking at about 100 million in revenues with a margin profile of roughly kind of low to mid 20s. Is that what you kind of see looking out kind of over the next or on a run rate basis I guess?
Nelson Gentiletti: I mean, its obviously, we're not going to extend to three, four years for now, but I mean, if you're looking for kind of use for your modeling for kind of rest of this year and for next year, I think that will be a good assumption.
Drew McReynolds: Okay. On also Nelson on CapEx wouldn't expect specific guidance looking outside of fiscal 2018. You did mention previously with respect to the CapEx profile Coveris that it would stay relatively stable given the investment that was put into it for I guess a few years at least. Is that still something that holds true from your perspective?
Nelson Gentiletti: I think as a base case its still holds true. What can make that CapEx vary is some of our projects that we're looking at to enhance the margins, part of them are to drive potentially incremental synergies and part of them are maybe to eventually improve efficiency and optimize platform to enhance margin and so on and so forth. So there could be additional capital associated to that, but if there is higher capital this would be capital that would have very, very quick high return on that capital. But it should not move the needle dramatically.
François Olivier: My view like what I see going forward the $75 to $80 million I think we're good with that.
Drew McReynolds: Okay. That's great. Thank you very much.
Operator: Ms. Chartrand, there are no further questions at this time. Please continue.
Katherine Chartrand: Well, thank you everyone.